Toshiyuki Miyakawa: Now we are starting KDDI's earnings release event for the second quarter of fiscal year ending March 2026. Later, we will have a Q&A session as well. Thank you very much for taking part despite your tight schedule. I'll be serving as moderator. I am Miyakawa from IR Department. This event is being live streamed with simultaneous interpretation between English and Japanese. And also, this event can be viewed on an on-demand basis on the website of our IR department. Let me introduce our participants. Representative Director, President and CEO, Matsuda; Representative Director, Executive Vice President, Executive Director of Business Solutions sector, Kuwahara; Director, Senior Managing Executive Officer, CFO, Saishoji; Director, Senior Managing Executive Officer, Executive Director, Personal Business Sector, Takezawa; Managing Executive Officer, CSO and CDO, Katsuki; Executive Officer -- Executive Director, Corporate Management Division, Aketa. We have 3 types of documents regarding earnings posted on our IR site. And also, please refer to our disclaimer regarding the content of the presentation as well as the targets such as number of contracts that may be referred to in the Q&A. Matsuda, President, will give a summary of presentation. And then after that, we will have Q&A. President, Matsuda, please.
Hiromichi Matsuda: Let me start my presentation, earnings results for the first half financial for fiscal year ending March 2026. I would like to explain the following 4 points today. First, I will discuss consolidated financial results. These are the highlights of consolidated results. We increased both revenue and profit. We are making progress toward achieving the EPS target as planned. Operating revenue was JPY 2,963.2 billion, a 3.8% increase year-on-year, 46.8% of the full year forecast. Operating income was JPY 577.2 billion, up 0.7%, progress rate of 49%. Net income or profit for the period was JPY 377.7 billion, up 7.6%, with progress rate of 50.5%. Second quarter year-over-year growth was strong with operating revenue up 4.1%, operating income up 2.9%, net income up 18.6%. As a topic, I would like to explain the Q-on-Q situation of the performance in Q2. During Q2, we saw the effects of our price revisions become apparent and achieved a solid growth. Quarterly operating revenue increased 6.3% Q-on-Q. Quarterly operating profit increased by 11.8%. Our profit during the quarter grew by 20.7%. Next, I would like to explain the factors behind the changes in consolidated operating income. Each business grew, offsetting the impact of prior year sales promotional expenses. Mobile in the Personal Service segment increased JPY 11.1 billion year-over-year and income from Finance and Energy business and Lawson equity method profits combined increased by JPY 12.7 billion. DX increased by JPY 3.9 billion. Technological structural reforms up by JPY 9.6 billion. And the impact of prior year sales promotion expenses, negative JPY 31.2 billion was overcome, and we're expecting to see accelerated growth. These are the key points of consolidated operating profit in the second half to achieve full year targets. The mobile business is to accelerate growth with our target of value enhancement through service revisions with second half year-on-year growth exceeding approximately JPY 19 billion over JPY 30 billion growth for the full year. Combining DX Finance, Energy and Lawson equity method, profits are being aimed for an addition of approximately JPY 30 billion. Finance, which is key, will shift to a strategy with greater focus on loan-to-deposit ratio, while DX will be placed on a growth trajectory through initiatives, including a turnaround of BPO business. And positive impact of technological reforms approximately JPY 13 billion, second half increase up JPY 55 billion to achieve full year target. The negative impact from prior year sales promotions will end in the first half. Next, mobile structural transformation. This is about virtual cycle created by Power to Connect. And amid rising prices, we aim to create a virtuous cycle of growth, providing new value to earn revenue, returning that value to stakeholders and reinvesting it for the next era. We're able to create value because of the past investment, and that cycle is starting to kick in, I feel. This virtuous cycle growing together with our partner will be continuously implemented. In this cycle, I would like to talk about our mobile business. Our mobile business is undergoing structural reforms focused on lifetime value as is in the diagram. Our focus is to make sure that each brand of ours meets such customer needs, so that they will continue to use our offering over the long term. For UQ mobile customers, we would like them to see the value and the attractions of au as a brand, and we are recommending migrating to au. Now we will review plans and sales approaches that would induce short-term churns by customers who are only after incentives and benefits. In the process of structural reforms, some customers who have not used our service for long may choose to cancel their subscriptions. We are aware of that, but we would like to focus on the long term to drive ARPU growth through value creation and reduction in churns by encouraging longer contracts, so that we can have a leaner business foundation. The announcement of capability to offer connected experience and communication quality form the foundation of value creation. According to OpenSignal's user experience analysis, following February global #1 ranking, we achieved #1 in Japan for the third consecutive time last month. So based on this best network that we offer in the industry, we are enhancing our capability to offer a connected experience, and we are supplementing it with au Starlink Direct, which began data communication business in August. Many customers are already using this service. So we would like to expand this value based on connected experience. au 5G Lane. Even in crowded areas, you can have a sense of security being able to connect smoothly. And for au unlimited data overseas, this is free of charge for 15 days, and it has contributed to a rising awareness that you don't need a WiFi router overseas. We have an investment in Lawson. So we would like to pursue initiatives to enhance engagement by proposing savings and a sense of security in daily life. Ponta Pass and Earthquake Preparedness Support together with Aioi Dowa will provide service within the year that deposits JPY 30,000 into au PAY balance or bank account of customers. This is all part of the price plan. The effects of structural reforms are beginning to materialize. The initiatives we have explained so far have borne through, leading to growth in mobile ARPU, which contributes to LTV and churn rates are showing an improving trend. On the left, mobile ARPU has steadily increased this quarter, reaching JPY 4,460 in Q2, accelerating growth with year-on-year increase of JPY 140 and smartphone churn rate improved Q-on-Q. Year-on-year increase also narrowed from 0.17 points in Q1 to 0.12 points in Q2. Now as part of further effect, one of our indicators is switching between brands. So brand switching not from au to UQ Mobile, but brand switching from UQ Mobile to au saw a positive reversal finally in September. This continues into October. So this is as a result of our transformation, making our main brand au more attractive and steadily changing the plans and sales approaches. And on the right-hand side, for UQ Mobile, there are initiatives to extend the contracts. As a testimony to that, there have been improvements in home set discounts and handset bundle rates. So these are the kinds of initiatives we are implementing deeply. Through such structural transformation, focus on LTV, mobile revenue on a Personal Service segment basis has significantly surpassed last year's year-on-year growth in the first half, reaching a positive JPY 12.5 billion, accelerating growth. And in the second half, we expect further improvements in churn rates and ARPU growth driven by progress in structural transformation, brand mix and expanding contribution from service revisions and the impact of service revisions and mobile is expected to exceed initial forecast. Next, I will explain the initiatives to achieve the full year target. And we aim for JPY 55 billion increase in profit is our target. And as in the focal area, we aim for JPY 30 billion scale increase in profit. The focal area, the Energy and Lawson are progressing well. On the other hand, Finance and DX are recognized as challenges due to changes in the business environment since the beginning of the fiscal year. I will explain the initiatives for these 2 later. First, Finance. We are now in the world with interest rates, so the competition is intensifying over deposit. Instead of depending on the housing loan, we will shift our strategy mindful of loan-to-deposit ratio. And individuals deposit balance has grown by 1.3x. But in order to strengthen deposit procurement power, we will be working on initiatives such as bank securities alliance. As for credit card membership, the expansion is urgently needed, especially for Gold Card, 1.72 million membership is what we would like to achieve. As for the business segment performance, in the first half, operating income was plus 3.4% year-on-year. It's a somewhat slow result. Mobile, IoT and data center did well. On the other hand, BPO business and SI-related business had a temporary profit decrease factors. So compared to the initial projection at the beginning of the year, we are behind the projection. However, we could identify -- we have a clear outlook for resolving those one-off factors, so we have addressed the risks. And one of the businesses is BPO business or Altius Link. Now since the first half, we are working on initiatives to defend the share of existing service and expanding services using AI. And in September, we could turn the tide and deliver increase in revenue and profit. And as a result of activated sales, new orders increased by 2.8x year-on-year and the number of ongoing projects increased by 2x year-on-year. And also, we are proceeding with integration of internal systems as part of our efforts to improve efficiency, and we are seeing results. And by maintaining the momentum, we would like to deliver a turnaround in the second half of the year. Also, in the second half as the driver for growth. So mobile and IoT are going to deliver a double-digit growth year-on-year. And in addition, Facility Solutions, Starlink drones, such new services are going to make a contribution to growth gradually. Next, I will explain the initiative for the next stage of growth. Six months have passed since the launch of the new management structure, and the construction of our future business foundation is progressing, including the execution of fee revisions. Considering this progress, we will discuss the new key themes we are focusing on for the next midterm management strategy starting next year. On the left, theme one, in the area of AI. In addition to transforming infrastructure, including telecommunications into a next-generation model, we will further expand our value-added and growth areas by leveraging digital data and AI. On the right-hand side, another thing, another key point. Moving forward, centering on the communication, we are now in the phase of delivering growth. So together with growth, return-based capital allocation is what we would like to do while being mindful of capital efficiency. For that, being mindful of the credit rating, we will use leverage, and we would like to maximize the investment capital, and growth investment will be made in a disciplined manner, and we would like to make investment in areas where we can expect high returns in medium to long term. Conversely, for areas that do not meet the criteria, we will consider a review of business portfolio, including withdrawal. In conjunction with these ideas, we intend to implement flexible share buybacks alongside our commitment to stable dividend increases. By deepening our strength of sustainable growth in the AI era and pursuing quality with an awareness of capital efficiency, we aim to enhance corporate value. Regarding the enhancement of network. In Opensignal, our ranking is #1. So in addition to SSI, we are creating communication an area where we overlap millimeter wave on Sub6. And as for data center, this is the case of Telehouse. So Telehouse-accumulated know-how both in Japan and overseas will be applied. As we do so to prepare for AI age, we are expanding data centers. And in London, we will be constructing sixth data center in London, spending total project cost of JPY 60 billion. So real-time processing such as inference AI could be supported with a power supply of about 57 megawatts at this London DC to come. As for domestic AI data center, Telehouse know-how will be utilized and AI data center in Japan proceeded quickly and Osaka Sakai Data Center will go into operation in January 2026. So by providing sovereign AI development environment, in addition to training functions, we would like to build a distributed computing platform in various locations to meet the expanding demand for inference. This is consumer services based upon the strategic tie-up with Google Cloud. So now there are issues that contents are used without consent. So this service provides a peace of mind to content providers and also the accurate information can be provided to customers. So since our announcement, we've received inquiries from many content providers. And as the key strength of KDDI, we are advancing initiatives to create new value by combining real world and digital. And with Lawson, we are working to continue our initiatives to generate value by utilizing technology. We will work to address societal challenges in Japan by utilizing the site here in Takanawa. And based upon the explanation in the next phase, we will be moving on to the second round and the third round of the value generation cycle. So we will have a 6G to follow 5G. So high-quality network and high value-added services need to be created. For that, we will conduct disciplined, efficient investment, and we will strengthen partnership. And here is the summary at the end. Being mindful of our lifetime value for mobile, now the structural reform is progressing. And then on a full year basis, we have outlook for increasing profit by more than JPY 30 million. For Finance and DX, we have identified challenges. And in the second half, we will be executing a strategy. So consolidated performance and mobile business is progressing in line with our projection at the beginning of fiscal year. And as management, we are growing more confident about delivering results. So the interim dividend is going to be JPY 40, which is half of JPY 80 full year dividend, which we announced at the beginning of fiscal year. And today, I talked about initiatives for the next stage of growth. But for the next medium-term plan, we will be proceeding with infrastructure advancement and partnership for service deployment. And in the age of AI, we will be aiming to generate corporate value and sustainable growth. Thank you for your continued support, and thank you for your attention.
Toshiyuki Miyakawa: Mr. Matsuda, the President, thank you very much. At this moment, we would like to start the Q&A. [Operator Instructions].
Kazuki Tokunaga: My name is Tokunaga from Daiwa Securities. I have 2 questions. My first question is this. In October and the second half, I would like your comment on the mobile business' competitive environment. NTT is saying that competition is very severe, and they said they had to increase promotional expenses. SoftBank is saying that they are acquiring customers with a focus on quality. It seems that they're taking different approaches and views. Given that, how have you competed in October? And net increases in IDs are slowing in terms of growth. So in the second half, how are you going to compete? So may I have your comment on the competitive landscape?
Hiromichi Matsuda: Thank you for your question. As I said in my presentation, we are now robustly promoting structural reform transformation. So ARPU growth and reduction in churn and a positive migration from one brand to the other and increase in bundle rates, I think we're seeing the results -- positive results in these aspects. So I think we're having the necessary pieces fall into the right places. IDs perhaps may not be all that robust, but we were anticipating that. So we're trying to increase our health structurally speaking. We want our operation to be mean and lean. That's what we've been doing for the past 6 months. So in that regard, well, it depends on how you look at the competitive landscape. But landscape in terms of promotional expenses, not that we're having a head-on competition with our peers who are pouring promotional expenses. Rather, we would like to compete on the basis of product capabilities. We want to convey the attractions of our products to our customers to compete in the market, and that will be our approach in the second half as well.
Kazuki Tokunaga: All right. It seems that churn rate is improving. And so will that continue in the second half?
Hiromichi Matsuda: Well, there are some seasonal changes that will all appear, but we want customers to use our service over the long term. That will be our focus. So reduction in churn rate and ARPU growth, those are what we would like to pursue robustly.
Kazuki Tokunaga: So my second question is about the idea behind the midterm plan. I think you talked about capital allocation in one of the pages in the presentation. So a detailed question. Number one, as you review your business portfolio, are you going to look at ROIC? What KPIs are you going to use as criteria for judgment? And you talk about flexible buyback or shareholder return. Given your makeup, it may be difficult for you to move flexibly. So if you could please comment on these aspects.
Hiromichi Matsuda: Thank you for the question. So capital efficiency, what are the indicators? We are discussing that as we speak. Internally, we need to have a discipline set. And by so doing, we will be able to encourage investment for growth in the future. So if you could wait until we come to a conclusion as to which indicators we're going to use for that. That is one message I would like to convey. Second, being flexible. At this moment, we would like to do what we're doing right now. And upon doing so, we would like to be flexible in deciding on a share buyback. It may depend on the definition.
Nanae Saishoji: Thank you. Flexible share buyback, that is something that we have used as a phrase, not that our stance has changed this fiscal year. Already, JPY 350 billion buyback and JPY 50 billion purchase, altogether, JPY 400 billion of buyback has already been conducted. And in the second half, we are increasingly confident to meet the EPS target for interim dividend. We are quite confident that we will be able to reach the level that we have said. And for this fiscal year, at this moment, we're not thinking of having any additional buybacks. And for the next year onward, as is noted in the presentation, but based on the growth strategy in the midterm plan, we will conduct share buybacks flexibly. It depends on the trends regarding major shareholders. And the balance between investment and shareholder return, we would like to remain flexible.
Toshiyuki Miyakawa: The next question, Section B, Row 2, the person in the back.
Daisaku Masuno: Masuno from Nomura Securities. So thank you very much for your clear explanation based upon profit. And first question, the second half profit plan. As for mobile, in the first half, 110% increase; and second quarter, JPY 19 billion increase; first quarter, JPY 11 billion increase. So it's an acceleration. But au revision of price and UQ price revision back in November given that we believe you could deliver bigger. So you put the word over. So I think there is upside. So on the other hand, your focal areas, Finance, Energy, Lawson, DX, all combined, JPY 16.6 billion increase in profit first half; and second half, JPY 30 billion increase. So JPY 13 billion increase is needed. So is it possible for you to achieve this? So where you see growth, so the fee revision and IoT data center, the new business and cost reduction, with all those elements, can you deliver results? Or do you need turnaround to be achieved? So how do you view the probability of achievement of second half target?
Hiromichi Matsuda: Thank you for your question. In the second half, JPY 55 billion increase in profit, we are looking at the composition. So JPY 30 billion is what we would like to create in focal areas. So Finance and Energy included. So Finance, Energy and these business segments. So as mentioned, in the first half, we have identified to address challenges. So those businesses have hit a turning point. So we would like to grow those businesses. And with that, we would like to deliver JPY 30 billion. And in addition to that, mobile segment, JPY 19 billion and above. So that's the area where we would like to generate profit. So if anything. So this slide, rather than complementing with this, but we would like to grow each business. Since these are focal areas, we would like to grow these businesses.
Daisaku Masuno: My second question is regarding medium-term plan. Regarding capital, basically, the balance sheet optimization and then share buyback and the EPS ambition. So balance sheet and P&L, the balance would be good balance to be aimed for, I believe. And what I do not understand is big theme one, the added value and the growing area, what do you mean by them? So going through your presentation, I do not have clear idea. So what specifically are you thinking about? Could you elaborate?
Hiromichi Matsuda: Thank you for the question. So as of today, for the next medium-term plan, what I would like to do is deliver our message. So on the right-hand side, capital allocation concept, that's what we would like to adopt. And on the left-hand side, so we have deployed social infrastructure, including telecommunication infrastructure. So moving forward, data center, AI and such infrastructure. So not only infrastructure, but we would like to go beyond that, and we would like to deliver the added value as well. This goes for data centers in Japan as well as overseas. So it's a transformation to the infrastructure. That's the wording we use, but we do have the resolution determination and the responsibility regarding the infrastructure. So we would like to apply that mindset to the AI, but please wait for the announcement of medium-term plan for details.
Daisaku Masuno: I do understand the infrastructure, but when it comes to the added value and growing areas, so you are announcing more details when you announced the medium-term plan?
Hiromichi Matsuda: Yes.
Toshiyuki Miyakawa: Next, Section A, Row 2, I see a hand. Please go ahead.
Satoru Kikuchi: My name is Kikuchi from SMBC Nikko Securities. Mobile income increase is really good news, I feel. With increase in income from mobile, you will be able to do a lot more things. So I look forward to seeing such new activities. In the past, you said that you will focus on ARPU over the number of IDs. I think that was around 3 years ago when you said that. But if the number of IDs decline, you think that momentum is important. Mobility needs to be increased. You had to change what you were saying in 6 months' time, which was disappointing. This time, you used the term transformation. And so I believe that you need to change the KPIs. Otherwise, you will have to start saying something different. If momentum is sluggish, you will have to change your approach. So churn rate is a very important factor, and it was very difficult for us to assess what was going on because of the churn rate. So what is it that you are going after? Lifetime value as a term, it's easy to understand. But would that become an indicator? What is the definition? So with these indicators, this is what you're trying to do. If you could clarify that. President Matsuda, what is it that you are looking to achieve? So that's my first question.
Hiromichi Matsuda: Thank you for your question. So increase in income in the mobile business, we are becoming increasingly confident about that. Because of increasing income there, we will be able to make more investment for growth in other areas. And we're talking about structural reform or transformation. We would like to track what is being substantively changed. So KPIs and set KPIs will have to be watched and monitored. We have made service revisions. Because we have had price revisions, we've had to send message to customers through DM and electronically. And those customers who have not used our service for long, because they were notified, decided to cancel. But how many customers are not using data? What is the ratio? We have been able to monitor that. And how much data is being used by a certain customer over how many months, we're able to grasp the specifics. Because some customers are utilizing data, they're willing to use our service over the longer term, we found. And so we're looking at such detailed KPIs as we continue with our structural reform.
Satoru Kikuchi: If there is a sharp reduction in the number of users, then that could affect you. It's very important. So even if the number of IDs go down, you won't change your approach?
Hiromichi Matsuda: We have no intention of changing our concept or idea. It's not 1 or 0. It's not that we're not going to pursue the number of IDs. Of course, for future growth, the number of IDs is still important. We want to capture good excellent customers. So those customers who are willing to cancel within a short period of time, that's not the kind of customers we're after. We would like to increase the number of IDs by capturing customers who are here with us for the long term.
Satoru Kikuchi: My second question, well, you've been talking about growth, investment for growth. But the next medium-term plan is going to be formulated in 6 months' time. And so by that time, the number of IDs could further go down. I don't think you can just restrict your discussion in telecom business alone. But according to SoftBank, Crystal Intelligence is being aggressively marketed according to their President. NTT is increasing the number of data centers by spending JPY 1 trillion or so. There may be pros and cons with respect to such approaches, but especially your business segment this time, in the current medium-term business plan, it seems that you were not able to successfully strengthen your business segment. So above and beyond building data centers under the current plan, perhaps you could have done more to reinforce the business segment, Mr. Matsuda. And under the current medium-term plan, that's the case. And for the next plan as well, you should look to strengthen the business segment. And there could be various directions. It could be IT services, data centers, solutions, AI. There are various aspects, and you will consider that for the next medium-term plan. But don't you need to identify important areas to start taking measures under the current plan? So Mr. Matsuda, which direction are you heading? If you could just give us a hint or show a direction as to which direction you're heading or trying to head?
Hiromichi Matsuda: Well, the Personal Service segment, it is still a large foundation for business. But in terms of growth, we have to tackle the business segment. We've had double-digit growth. And in the next medium-term business plan, we have no doubt that it will continue to be our growth driver. So given that, what are we going to do in which area? That's what we have to clarify in the next medium-term plan. As I said earlier, based on the telecom infrastructure that we have, offer value-added in telecom business as well as in other businesses, convey that to the customer and service the customers, so that we can earn compensation. So connectivity or telecom and data centers where AI is being utilized, I think these are pieces that are indispensable to each other. And I don't mean to single out AI business on a stand-alone basis. AI is something that can be incorporated into our existing business as well. So we believe that part of our business will transform into one that will embrace AI. And I think AI will accelerate in some areas, but in terms of growth and so forth, how can we incorporate AI to enhance security and what positive impact could it have. That is what we're calculating. And we would like to, of course, increase the odds so that we can be successful in the next medium-term business plan.
Toshiyuki Miyakawa: Next person, Section C, Row 3, the person in front.
Yusuke Okumura: Okumura from Okasan Securities. In the first half, looking at the profit and also, I have a question about your thinking about the second half. Page 7. Operating income increase is shown in this table from the beginning of the year, roaming and the stakeholder return, and they seem to be contributing to the increase in profit, but the stakeholder benefit sharing and roaming in the second half, do you foresee some special factors regarding them?
Hiromichi Matsuda: So what you said is others portion.
Yusuke Okumura: Yes.
Hiromichi Matsuda: In others, so from our viewpoint, MVNO and Rakuten roaming decrease in revenue and stakeholder return benefit sharing. And for this stakeholder portion, it's something that will continue from this year. So what is the portion for this year? We are not specifying it, but it's a portion that's continuing into next year. And as for our technology partners, already some number is incorporated in that sense. So it's a sharing of benefit with the shops and also the personnel expense.
Yusuke Okumura: As for the roaming and stakeholder portion, it's decrease in the profit a bit above JPY 30 billion. Is my understanding wrong?
Hiromichi Matsuda: Not that big. The amount is not that big. So the profit decrease -- so regarding roaming, that's about JPY 1.9 billion. And Rakuten roaming revenue, I think income decrease will gradually shrink.
Yusuke Okumura: Okay. Understand. Excuse me. So in order to deliver continuously value to customers, stakeholder benefit sharing cost, annually, JPY 20 billion to JPY 30 billion is what we anticipate on a full year basis. And in the first half, in that sense, the amount is not so big. It has not incurred so much. And others section has various other elements. So for example, positive elements are included as well. So in the second quarter, we had positive elements contributing. Then on that basis, in the second half, the profit increase and decrease, Page 19 shows the plan for the second half. But what kind of changes were there compared to the beginning of your projection? In the focus areas, JPY 10 billion or so of downward revision was made. Is it the right understanding? If so, the Finance, Energy, Lawson business segment, what kind of change happened? And the full year profit plan has been retained. So the others is in balance with the decrease in profit. So roaming and stakeholder benefit sharing cost. So I would like to know the changes in the elements, positives and negatives.
Nanae Saishoji: Regarding that, from the initial guidance, the absolute amount has not been changed. So while we anticipate several factors, we anticipate we have not much changed. This is your view.
Yusuke Okumura: Excuse me. I might be wrong.
Toshiyuki Miyakawa: Thank you very much. The time to close is fast approaching. We will be taking one last question. So Section C, Row 1, please.
Tetsuro Tsusaka: Tsusaka from Morgan Stanley. Share price, of course, is determined by the market. That's fine. You are performing very well, and NTT, who's not performing very well, share price valuation, market assessment, there's not much of a difference between you, KDDI and NTT, despite the difference in performance. According to market, price hikes cannot happen every year. You made a price revision this time, you're looking at the situation, looking at the customer reaction. Value enhancement, of course, can continue, but it seems that you've already done the price revisions. So in the next step, what is going to be your focus for growth? I don't think the stock market has yet to understand that. For the next phase of growth, you have included a number of slides, but they are rather abstract. So telecom network quality being very good, but that's taken for granted. I'm sure you're focusing on that. But from the user's perspective, 99.9%, 99.8%, they won't perceive the difference between the two. So in that regard, what you have included in the slides is rather taken for granted. You are not going deeper enough in terms of your strategy, it seems. So there's lack of catalyst. I just can't see what we can be excited about. Well, all of that can be explained by the next medium-term business plan, you may say, and that's fine, but peers of yours are putting out a lot of different messages about that. I think you need to assume the same attitude perhaps. So if you could share your thinking as to what you're going to do for the next phase of growth. I have only that question.
Hiromichi Matsuda: Well, thank you for your question. As you pointed out, we made a price revision. We launched a price revision. And I think it will have a tangible absolute effect this year and next year, and we will have a greater source of investment for the future as a result. And on the right-hand side of one of the slides, capital allocation, I talked about the medium-term business plan and specifics are on the left-hand side, what's going to be the catalyst for the next phase of growth? That was your question. Not that I'm asking you to wait for the next medium-term business plan to come out, but we're in tumultuous age with the emergence of AI. And we have a picture for the future, but we're focusing on increasing the odds, if you will, increasing the likelihood of achieving that vision. And you're saying that we should give sneak peeks, and I note that. We would like to prepare for that for the next phase. Thank you.
Toshiyuki Miyakawa: Now it's time to close. So with that, we would like to close the second quarter earnings briefing for the year ending March 2026. Thank you very much for your attendance. [Statements in English on this transcript were spoken by an interpreter present on the live call.]